Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sapiens International Corporation's 2023 Fourth Quarter and Full Year Financial Results Conference Call. Sapiens issued a press release before the market opened this morning and it has been posted on the company's Web site at www.sapiens.com [Operator Instructions]. I would now like to hand the call to Ms. Yaffa Cohen, Sapiens’ Chief Marketing Officer and Head of Investor Relations. Yaffa, would you like to begin?
Yaffa Cohen-Ifrah: Thank you, operator. I would like to welcome all of you to Sapiens’ conference call to review our fourth quarter and full your results for 2023. With me on the call today are Mr. Roni Al-Dor, President and CEO; Mr. Roni Giladi, CFO; and Mr. Alex Zukerman, Chief Strategy Officer. Following the summary of the results, we will be available to answer any questions. Before we start, I would like to remind everyone that this conference call may contain projections or other forward-looking statements. The safe harbor provisions in the press release issued today also apply to the content of the call. Sapiens expressly disclaim any obligation to update or revise any of these forward-looking statements whether because of future events, new information, a change in its view or expectation or otherwise. On today’s call, we will refer to non-GAAP financial measures. A reconciliation of GAAP to non-GAAP results has been provided in our press release issued before the market opened this morning. A replay of this call will be available after the call on our Investor Relations section of the company Web site or via the Web site link, which is available in the earnings release we published today. I want to turn the call over to Roni Al-Dor, President and CEO of Sapiens. Roni?
Roni Al-Dor: Thank you, Yaffa. Thank you for joining us today. 2023 was the year in which Sapiens successfully executed our growth strategy across both our regions and our product categories. I'm happy to report that in fourth quarter of 2023, Sapiens again delivered strong growth and resilience. Let's dive into the details. I will start with highlights from 2023 and then review the fourth quarter performance. In 2023, revenue increased by 8.4% and operating profit rose by 12.8%. Our growth was distributed across the region we serve. On a regional basis, Europe was impressive 10.5%, North America achieved growth of 7.4%. Our annual operating margin was a robust 18.3%, reflecting our continuous commitment to operational efficiency and prudent financial management. I would like to emphasize several notable business achievement from 2023 that will serve as strong foundation for our objective in 2024. First, as promised, our North America business has experienced robust growth and we are well positioned to sustain this growth in 2024. We expand our North America sales and marketing team, reinforcing our presence and capabilities in this important market. This investment will ensure that we are equipped to continue to grow in this key region. Second, we successfully introduced the global customer care engagement model, which is playing a pivotal role in enhancing our customer relationship and creating stronger connection with our client. Furthermore, we achieved significant increase in both new and cost sales, showcasing our ability not only to retain existing clients but also to attract new ones. Third, we made significant progress in expanding our market share by signing about 30 new deals with both new and existing customer across core, data, digital and cloud in P&C workers' comp, life and reinsurance. This expansion is testament to our commitment to growth and increasing recognition of our value proposition in the insurance market. In addition, in 2023, we completed multiple successful go-lives globally. Lastly, we have recently started collaboration with system integrators to expand our reach and accelerated growth. To manage this new channel, we have hired a senior executive to develop our strategy and oversee the SI relationship. Our plan is to work with SI mostly in upper tiers and specific regions. We are currently in the process of selecting our preferred SIs and are committed to this approach. As an example, in 2023, we partnered with a leading SI in one of the large worker compensation deals in North America. We believe working with SI will have a mid to long term impact. This achievement underscore our readiness to tackle the challenges and opportunities in 2024. Now let's delve into our regional performance, starting with North America. As I mentioned earlier, our North America sales, marketing, customer success, sales support and product marketing team were expanded with the express goal of financing and supporting sales growth. These expansions aligns with the demand we have experienced in North America. We are particularly excited about the momentum we have experienced in the life segment in North America and are committing to capitalize on this growth opportunity. We closed new deals in the life and annuity for both core and components, a significant step up from prior years. P&C and workers’ compensation continue to be verticals in North America where we are adding new customers. In 2023, we signed new P&C customer and new workers' comp deals. Our proven track record in successful implementation and ongoing support were also key factor in winning these deals. Reinsurance remained an active segment in North America for 2023 and Sapiens signed new customers on the platform. We are winning in reinsurance with our award winning solution, enabling insurers to automate and manage end-to-end program with sufficiency and control through seamless integration. In EMEA and APAC region, we signed P&C deals across all of our products and new deals for our CoreSuite life platform. Our pipeline and backlog coming into 2024 are strong across all of our product lines, including P&C and lifetime and pension delivered in SaaS model. This position us favorably to maintain momentum, secure new deals and expand our presence in these markets. Our commitment to growth in North America, EMEA and APAC is underscored by increasing in the size of our teams in these regions, including additional headcount across sales, marketing and product marketing. Furthermore, we anticipate continued momentum and growth in cross selling opportunity within our existing accounts across all regions throughout 2024. Additionally, our traditional territories in EMEA and APAC are showing significant growth potential, particularly in the life and pension and P&C space. This growth is a direct result of the investment we have made over the past two to three years strengthening our foothold in these markets. As mentioned in the previous call, we believe that the APAC region, which has experienced growth and has shown our successful land and expand strategy will be additional growth catalyst for Sapiens in the near future. We are building a pipeline in this region and are excited about the progress we have made with current implementations. Now turning to the fourth quarter. Our overall revenue growth in Q4 was impressive at 9.6% and Q4 operating margin was 18.4%. I want to highlight two successful go-lives in the fourth quarter. First, in the Nordic region, a leading Norwegian insurance company, NCB or GPF, went live with Sapiens’ CoreSuite for life and pension and Sapiens’ cloud services for their individual saving. It is very exciting. GPF is the first Nordic customer to go live with CoreSuite, which will expand the insurers’ digital capability, boost its leading market position. Second, a leading European automotive brand went live with Sapiens IDITSuite and Sapiens Cloud for the company’s sales guarantee and warranty insurance lines of business. Sapiens Solution replaced the company existing system for policy portfolio management and claims management. Phase one of the implementation for automotive warranty took just over a year with the second phase of product warranty implementation planned for 2024. And lastly, in the fourth quarter, we were engaged by Saskatchewan Workers' Compensation Board to transfer its coworkers' compensation system. Saskatchewan WCB selected Sapiens CoreSuite for office compensation, digital suite and intelligence to transform its legacy core system with a modern integrated platform for efficient service delivery. In summary, our regional performance in EMEA and North America and strong momentum in fourth quarter as we exited 2023 position us well for continued growth and success in 2024. We remain dedicated to deliver value to our customer and shareholders. Looking ahead to 2024, I want to share some key initiatives that will guide our strategic direction. First, continue our transition to SaaS with all our products with our [evolved] Sapiens insurance platform. Sapiens insurance platform include an end-to-end integrated business-led SaaS platform with advanced technology and data capabilities. The Sapiens insurance platform unifies our core insurance capabilities, our digital engagement solution, our advanced data capabilities and our ecosystem partners into a coherent, fully integrated yet modular platform, focused on our customer business need, harnessing the power of our ML and AI capabilities, our decision management tools and our new generative AI capabilities, to provide an innovative data-driven operation. Sapiens insurance platform operating value lies in technology standardization across all products using a common tech stack and reusability of components across our various proposition. The platform value proposition for our customer and prospect is aimed as an enhancing efficiency, driving growth and fostering innovation. Sapiens plans to continue leading with our SaaS based offering across all our markets and all our products. The new deals we are signing now are based on our SaaS model, which aligns with our core strategy going forward. In parallel, we are engaging with our existing customer base across our solution to initiate SaaS transition program for customer currently on-prem. Second, expanding North America where we have made significant investments and sustain our growth in Europe, where we have a strong footprint by leveraging existing localization and reference to acquire new customer. In addition, focusing on cross selling to existing customer to take advantage of our wide range of product Sapiens offers. In conclusion, we are excited about the opportunity that lie ahead in 2024. Our strong performance in 2023 and strategic initiatives position us well for continued growth and success. Now I would like to turn the call to Roni Giladi, our CFO. Roni?
Roni Giladi: Thank you, Roni. I will begin my commentary by reviewing the fourth quarter and full year 2023 non-GAAP results, followed by comments on the balance sheet and cash flow. I will wrap up with our guidance for 2024. Revenue in the fourth quarter of 2023 was $130.9 million, an increase of 9.6% compared to $119.5 million in the fourth quarter of 2022 and slightly higher than the previous quarter. On a constant currency basis, our revenue grew by 7.5%. Revenue mix. Revenue from recurring software product and reoccurring post-production services totaled $19.4 million compared to $77.7 million in the same quarter of last year, a $12.7 million increase or 16.3% growth from Q4 of 2022. This recurring software product and reoccurring post-production revenue represented 69.1% of our total revenue in the fourth quarter compared to 65% in Q4 of last year. We are extremely pleased by the overall growth and the growth rate of recurring software products and reocurring post-production revenue. Geographic breakdown. Revenue in North America was $54.9 million compared to $50.8 million in the year ago quarter, an increase of 8% and $4.1 million. Revenue in Europe was $65.2 million, a year-over-year increase of 14.7% compared to $56.9 million. On a constant currency basis, revenue in Europe grew by 10.3%. Revenue in rest of world, which includes South Africa and APAC, was $10.8 million, a decline of 8.3% compared to prior year quarter due to customer phase one go-live in APAC. Profitability, operating profit and margin in the fourth quarter of 2023 were $24.2 million and 18.4% of total revenue respectively compared with $21.1 million and 17.6% in Q4 of 2022. We extended our profitability by improving our growth margin by 40 basis points and reducing our operational expenses margin by 40 basis point also. Although, in terms of dollars, operational expenses increased. This resulted in an 80 basis point improvement in our operating margin. We are confident that we can continue to both grow our business and further improve our gross margin. During the quarter, we had net financial income of $0.6 million, coming mainly from interest income, which was partially offset by interest expenses of all $0.5 million related to our debenture. Net income attributed to Sapiens shareholders for the fourth quarter of 2023 was $20.1 million, up 11.4% from $18 million in Q4 of 2022. Earnings per diluted share was $0.36 for the fourth quarter of 2023, up 12.5% from $0.32 of the fourth quarter of 2022. Turning now to our result for the 12 months ended December 31, 2023. 2023 revenue increased to $514.8 million, up 8.4% compared to $474.8 million in 2022 and in line with our higher range of our guidance. North America revenue represented 41% of total revenue. European revenue represented 50% of total revenue. On a constant currency basis, our annual revenue increased by 8.1% in 2023. In 2023, revenue growth came mainly from 9.8% revenue growth in Europe on a constant currency base, 7.4% growth in North America. And I would like to remind you that in 2022, we grew 4.3% in North America and the rest of world, which grew by just under 2%. For the revenue mix in 2023, revenue from recurring software product and reoccurring post-production services total $342 million compared to $300 million in 2022, a $42 million increase or 14% growth. This year, we will start to report our annualized recurring revenue or ARR numbers. We will provide ARR results quarterly. Our ARR revenue includes subscription, term license, maintenance, application maintenance and cloud solution. The ARR run rate is the sum of this revenue as per the last quarter ended multiplied by four. Our ARR for Q4 of 2023 totaled $164.8 million, reflecting 13.5% growth from Q4 of 2022. I want to highlight the following; gross profit increased in 2023 by 30 basis points; operating margin increased to 18.3%, increase of 70 basis points; earning per diluted share was $1.35 compared to $1.21 in 2022; and EBITDA increased 11.7% to 19%. Turning to our balance sheet. As of December 31, 2023, we had cash and cash equivalents and short-term deposits totaling $202 million and debt of $60 million, which is scheduled to be paid in three equal payments, of which the first one was paid in January 1, 2024. Turning to our adjusted free cash flow. During 2023, we generated adjusted free cash flow of $70.6 million compared to $36.1 million in 2022. Our adjusted free cash flow in 2023 was 94.1% of our non-GAAP net income compared to 53.7% in 2022. We achieved strong cash flow in Q4 and the full year, demonstrating our ability to convert net profit to free cash flow. And finally, in terms of M&A. We acquired a small company at the end of 2023 to strengthen our presence in the Nordic region. The transaction aligned with our commitment to better serve our clients in this key market. The impact of the acquisition is immaterial to 2023 and 2024 results. Today, we are introducing the following guidance of 2024. Revenue. Non-GAAP revenue in the range of $550 million to $555 million, representing growth of 7.3% at the mid point. This growth anticipates high single digit organic growth in North America and in Europe and low single digits growth in the rest of world. Operating margin. Non-GAAP operating margin is expected to be in the range of 18.1% to 18.5%, representing a stable operating margin at the midpoint compared to 2023 operating margin of 18.3%. I want to explain the rationale behind our guidance. As previously mentioned, we began offering subscription a year ago, primarily North America and for specific product line. This year, we plan to expand and offer our subscription for new deals for all products globally. Additionally, we intend to transition our current customer to a subscription based model in the upcoming years. The continued transition to SaaS for new deal will result in; one, convert part of revenue from post-production services to subscription revenue; two, shift of revenue that are currently part of pre-production revenue, which are non-recurring into subscription revenue, which are recurring and will be recognized over a longer period. The financial impact will be reduction in our total revenue in the short term, one to two years, and an increase in our recurring revenue and ARR in the mid to long term. We expect the impact of our annual growth rate due to the change to be around 1% headwind to revenue. Therefore, our growth rate would've been approximately 8.3% at the midpoint had we not made the shift to subscription recurring revenue. Operating profit. Over the past few years, we have successfully managed to increase our revenue while improving our profit and margin. However, this year, we have made a strategic decision to continue our transition to SaaS and increase our sales and marketing investment to further accelerate growth into 2025 and beyond. Despite these strategic steps, we aim to maintain our operating margin while simultaneously increasing our operating profits. The impact of the transition into SaaS and increased investment will be partially offset by increasing our offshore ratio, operational efficiency and reduction in G&A expenses. We believe this strategic decision will better serve the company long term growth and improve our recurring revenue and shift more revenue to ARR. I will now turn the call back to Roni Al-Dor. Roni?
Roni Al-Dor: Thank you, Roni. 2023 was the year of growth and profitability highlighted by accelerating growth in North America and continued growth in Europe and rest of the world. We delivered revenue growth for the year, surpassing the $0.5 billion mark and healthy increase in our operating profit of almost 12.8% to achieve an operating profit margin of 18.3%, demonstrating our ability to profitably scale our business. Looking out over the remainder of 2024, our priorities are; one, to transition all of our products to SaaS delivery model with Sapiens insurance platform; and second, leverage our investment to drive performance in all our key regions, North America, EMEA and rest of the world. I would now like to close our prepared remarks and open the call for question. Operator, we are ready to open the call for Q&A.
Operator: [Operator Instructions] The first question is from Dylan Becker of William Blair.
Dylan Becker: Maybe starting with Roni A or maybe even Alex too. You guys have talked about kind of the SaaS transition, the focus on data and integrated systems. So I'm wondering to what extent is that coming up in conversations with data and real time decisioning kind of causing a shift in how carriers think about their risk exposure and their risk management given kind of some of this compounded complexity of legacy and siloed systems that they're operating in today, how that kind of helps fuel this overall SaaS conversion and momentum you're seeing?
Alex Zukerman: So definitely, this is actually giving us a strong push in the view of our customers due to the issues that legacy systems have with antiquated data management and closed the systems, we see here a proposition that we are coming to the market with the platform proposition that enables seamless integration of the core processing capabilities to data and analytics, providing not only a retroactive analysis of what happened in the business but actually ability to take decisions and manage the company workflow based on data. And we’re using also our decision tool that is a tool that’s sold in the market but also now used inside our platform to increase automation and to manage the data properly. And this brings us the ability to run a much more data driven proposition, which is definitely resonates with the market.
Q - Dylan Becker: Maybe Roni A for you, encouraging kind to hear about the headcount investments here and how that's fueled by the broad base kind of demand you guys are seeing. I wonder how to think about kind of the balance between investing in this go-to market capacity and kind the needed implementation support as well? You called out a higher and kind of doubling down on that partner ecosystem. But wondering how you think about the balance between the two and how this can maybe accelerate that shift towards a more product oriented revenue base?
Roni Al-Dor: So a few questions that you asked, I’ll try to answer them. One about product versus services and all the system integration in section. For the last many years we are shifting R&D to India so we can do a good ratio between offshore-onshore, and we build a very strong organization that allow us to develop more thing with less. And that's allowed us to shift things from pure R&D to certain marketing organization. In terms of the SI, as I mentioned on the call that we are taking very serious, the SI, but it's still not the majority or part of our revenue. And we also, based on the decision that we made, we don't see huge overlap between what we plan to bring and what the SI and we believe that maybe we can lose few percent of the revenue but we can get more business. So we don't see some dramatically change on the ratio the services part.
Dylan Becker: And then lastly maybe touching on Roni G, so appreciate the A$R disclosure, and nice growth here as well as kind on the post-production side. Wonder what's the right way of thinking about kind of this ongoing mix shift towards these two segments? And it sounds like it's kind of picked up and given that these kind of are the areas driving a lot more of the growth versus that kind of lower margin services side?
Roni Giladi: So first, you are right. Both of these verticals, the ARR and product and post production services, will grow faster than the company growth. This is, as we feel the implementation piece all the time, we are increasing the layers of this revenue stream. I can say that in the ARR piece, we also going to shift some of the revenue, which is in the post-production to the ARR revenue that include, for example, that we categorize as services, for example, upgrade or application maintenance, and over time with the new deals will be part of the subscription and increase our ARR. So overall, both of these categories will grow faster than the company growth going forward.
Operator: The next question is from Kevin Kumar of Goldman Sachs.
Kevin Kumar: I wanted to ask about the progress towards the cloud, sounds like that's increasingly a focus here. I guess how many customers migrated to cloud in 2023? And more strategically, how do you think about kind incentivizing customers who may be on, on premise to kind of make the jump and transition over to cloud?
Roni Al-Dor: We are -- for a long term, we shift -- we build our cloud services organization and we shift the majority of our product to the cloud. I think what we are now coming with main method that -- that's our proposition. So if the past it was more flexibility, people can choose one or the other. At this moment, based on all the investment and the maturity of our product, we are coming to the market with the [indiscernible] [past] proposition that's mean that the software and part of the maintenance and all the cloud services is coming as one package. And we are, just in very, very specific case, approved by me, by myself, we can allow to do something different. But it's a journey, it takes time. But for the new business, this is our main message.
Kevin Kumar: And maybe one on kind of accepting the growth between kind of new logo adds this year versus kind of [past] and expansion. How is that evolving, where did that land, I guess, in 2023? And how are you thinking about that mix of new versus expansion in ‘24?
Roni Al-Dor: Roni, you can answer also. But we, in Sapiens, we have a huge client base but we also believe that we must need to continue to bring new business. So Sapiens, many, many years, we are not type of company are saying, okay, we sold to this customer, let's the majority of our work to move them to the cloud. We are definitely putting a lot of effort to bring new business in parallel to shift to the cloud. So it's definitely not our main focus just to move to the cloud at this moment with our continued investment. And as I mentioned, we increased investment in our strategy and product marketing, in marketing, sales and CC. So overall, increased investment and we are looking for both incrementally.
Roni Giladi: Kevin, maybe I will add one more sentence. In terms of new logo, give or take, we have the same time, but the number of deals or product that we sold to the same customer is bigger than last year. And also from cross-sell opportunity, this is a significant improvement from 2022, the number of cross-sell opportunity, additional product to existing customer also grew well, right now very close to almost 30 new deals in 2023, together, new logo and cross-sell opportunity deals.
Operator: The next question is from Mayank Tandon of Needham and Company.
Unidentified Analyst: This is Sam on for Mayank today. I wanted to touch on outlook for the year. Could you guys talk about some of the macro assumptions you have built into the revenue guide and maybe provide any commentary and how we should think about the revenue and margin trajectory throughout the year?
Roni Giladi: If we look in the last two years, European market was growing double digit or close to double digit, macro environment slightly slower than in the past, not significant but slightly. And as we projected, we are going to grow in the European region high single digits. In North America, we did turn around, if I'm looking back two years, we almost did not grow over there. Last year, we grew 4% and this year close to 8%. And we mentioned that we are going to grow next year high single digits. And in APAC, which include the APAC in South Africa together, we have a nice pipeline also in APAC and we are going to have a mid single digit also in rest of world region towards 2024. We mentioned that we are going to grow about 7.3% at the mid point between [550 to 565]. But we also mentioned because of the transition to SaaS that we continue to do, we started this in 2023, the impact on the revenue is about 1%. So overall, we are expecting to grow without this at 8%.
Unidentified Analyst: And then just given you guys have been experiencing a couple quarters of stronger growth. Are you guys seeing any changes in terms of competition or win rates across whether it's Europe, North America or APAC?
Roni Al-Dor: Not something dramatically. We have several products, thinking with the workers’ comp, we're in a leading position in the reinsurance, we are leading position in the last few years, we see much stronger on the life and the competition is not as difficult. I think the area that we are seeing all the time more competition is around the P&C. And also difference between North America, it's many players, but in Europe is majority from North America is Guidewire and all the rest is more local company like RGA or Klien and so on. All local in Asia. So more competition on the P&C. All the rest is more or less the same or even Sapiens in better position than it was in the past.
Operator: The next question is from Alexei Gogolev of JP Morgan.
Alexei Gogolev: I was wondering if you could disclose the number of customers that are on the cloud. I seem to recall that at the end of 2022, you were saying there are about 120 customers on the cloud. Any updates on that number please?
Roni Giladi: We probably have additional 2020 plus customer on the cloud as of today. We do not have the exact number, but it's probably close to 150
Alexei Gogolev: And now that you're disclosing ARR, would you be able to say what is the share of cloud customers in ARR?
Roni Giladi: The vast majority of the ARR is customers that are on the cloud.
Alexei Gogolev: And I also wanted to ask you about P&C in North America. I recall that back in 2022, you were saying revenue contribution of P&C in North America was about $50 million. Any updates on that number or perhaps how it has grown over the last year?
Roni Giladi: Can you repeat the question, Alexei?
Alexei Gogolev: Share of P&C in North America.
Roni Al-Dor: In North America, we have three product lines beside the workers' comp, it's also P&C but we categorize indifferent where what we call cost with life, and we have the MPL, it's a company that we acquire and then we have a single, it's very old. So all of this is more than what you mentioned in terms of the revenue. And so all these business continue to grow. It was couple of years of slowing down based on many delivery challenges and to continue to develop our product suite. Just a quick reminder, in the CoreSuite, we acquire many -- StoneRiver and then we acquire Adaptik, and then we integrate and build our billing system. So together, all of this done, we decide to go back to the market, we signed [22] deals last year and we hope to see more business this year.
Alexei Gogolev: So just to clarify, if P&C North America growing faster than overall North America or roughly the same level?
Alex Zukerman: We're not providing by product in the region. The overall life and the company today is going slightly higher than the P&C, but this is overall global company.
Operator: The next question is from Chris Reimer of Barclays.
Chris Reimer: Honestly, most of my questions have been answered already, but I did want to ask if you could touch on relating to the 2024 strategy. You mentioned the select and expanded use of SIs. I was wondering if you could just elaborate a little more on that, how you expect it to play out and how it may be different from what you've already done with SIs?
Alex Zukerman: I will try to answer. Sapiens’ business model for many, many years that we are developing our product, doing the implementation and then doing the cloud services. What we and most of our competitors are doing, majority of product, some case they are doing part of the delivery and they're sharing with SI. We made a decision, not today, a long, like in the last one or two, but right now we did some increase seriously of this decision. First, as I mentioned, we hire a dedicated very senior person that’s -- she came from the competitors and helping us to build the SI partnership. And she's not alone, with somebody else, that's one. We also believe that our product is mature enough to work with SI. And right now we are in the selection to see who is the right partner for us, because we don't want to work with 20 SI, we want to limit it and we are renowned definition where to put investment. So we don't plan to do it in all territory and not to all the product. As I mentioned we see help that we need from them on the higher tiers. And we also believe that in this case the overlap will not be high, because they're doing also a lot of consulting and things that Sapiens didn't do at the past. And just to give you an information, in general, when Sapiens is giving offer to the clients, like X million, the customer is also has, the work that he's doing by himself, it's almost one to one. So the SI can do this part and we can don't see huge overlap on the higher tiers. And then we can go also to the territories that we are second is not doing any business today, as an example, France, and we can consider to work with them. And in that case, we are interesting to shift more work for them, because we don't have the local people. At the past, Sapiens decision was to acquire company, but we don't want to continue to acquire in every countries in the world. So we decide to work with SI.
Chris Reimer: Also if you could just touch on the gross margin expansion. Given the transition you mentioned to the products SaaS offerings. Do you expect any change to the gross margin? I think it was previously, you noted that it was 56 in recurring segment.
Roni Giladi: So due to the transition that we mentioned moving to SaaS subscription and shifting from post-production services to subscription or some high value to the subscription coming from the implementation, obviously, we are going to see a slight increase in the subscription gross margin with lower gross margin on the implementation on the one time revenue, the pre-production revenue. The impact is about 0.2% on the post-production revenue, gross margin going up and 2% of the implementation pre-production revenue going down. The overall blended is about 50 basis points down. At the same time, we are doing all the time improvement in the company in terms of offshore product maturity and we are thinking that we'll be able to offset this decrease with the efficiency that we mentioned.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Ms. Cohen to go ahead with her closing statement, I would like to remind participants that a replay of this call is scheduled to begin in two hours. In the US, please call 1888-269-0005. In Israel, please call 03-9255-938. And internationally, please call 9723-9255-938. Ms. Cohen, would you like to go ahead with your concluding statement?
Yaffa Cohen-Ifrah: Thank you for joining the call today. Please note that Sapiens will participate in the Needham Technology Media and Consumer Conference on May 14 and 15 in New York City. We look forward to speaking with you soon and are always happy to answer any follow up questions, and thank you again for joining.
Operator: Thank you. This concludes the Sapiens International Corporation fourth quarter 2023 results conference call. Thank you for your participation. You may go ahead and disconnect.